Operator: Good day and welcome to the nLIGHT Fourth Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] I would now like to turn the conference over to Joe Corso, Vice President of Corporate Development and Investor Relations. Please go ahead.
Joseph Corso: Thank you; and good afternoon, everyone. With us today are Scott Keeney, nLIGHT's Chairman and CEO; and Ran Bareket, Chief Financial Officer. Today's discussion will contain forward-looking statements including financial projections and plans for our business. Forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, including the risks and uncertainties described from time-to-time in our SEC filings. Our results may differ materially from those projected on today's call, and we undertake no obligation to update publicly any forward-looking statement, except as required by law. During the call, we will be discussing certain non-GAAP financial measures. We have provided reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures in our earnings release, which can be found on the Investor Relations ' section of our website. I will now turn the call over to Scott.
Scott Keeney: Thank you, Joe. Starting on the slides 3 and 4. 2021 was an important year for nLIGHT. Year-over-year growth in each of our end markets enabled us to generate record annual revenue of $270 million. Overall revenue in 2021 grew approximately 21% in line with our long-term compound annual growth rate of 23%. To put that in perspective, total revenue was nearly double what we generated in 2017, the year immediately prior to our IPO. We continued to execute on our strategy of increasing sales to industrial customers outside of China and in aerospace and defense. Over the long term, we continue to believe that we can meet or exceed our historical revenue CAGR of 20% and product gross margins of 40 plus percent. To meet these long-term objectives, we will continue to invest in automated capacity in the U.S. and optimize our manufacturing footprint in China. While this important operational transition will result in pressure on our gross margin and operating margin for the next few quarters, as we look beyond 2022, we believe it will enable us to achieve higher levels of profitability as we scale to address anticipated robust customer demand. Turning to Slide 5. 2021 was an important year for our transition in our geographic focus. Our results illustrate how our business has evolved since our IPO in 2018. In just a few years, we've migrated from a strategy that had included significant focus on both operations and markets in China to a strategy that is primarily focused on both operations and markets outside of China. In 2021, revenue from customers outside of China grew 41% year-over-year to approximately $215 million, which represented approximately 80% of our total revenue. Turning to slide 6. In Q4, revenue from customers outside of China grew by 26% year-over-year to approximately $60 million or 89% of total revenue. We have doubled our revenue outside of China since Q4 2019 and for the first time since we went public in 2018, all of our top 10 customers were from outside of China. While our geographic focus has transitioned, our strategy remains focused on leveraging our vertically integrated business model to enable key growth markets. Slide 7 provides an overview of our vertically integrated business model that begins at the semiconductor chip level, where we produce high-brightness, high-power laser diodes. Over time, we've extended our technology stack into fiber-coupled semiconductor lasers, optical fiber, and fiber lasers. A deep understanding of each of these technologies and improvements across this vertical integration enables us to design products that are optimized for specific applications. With the acquisitions of Nutronics in late 2019 and Plasmo earlier this week, we further expanded our technology capabilities to include beam control for both defense and industrial applications. Our ability to direct, adjust, monitor, and control the laser beam enables us to attract the most efficient and economical use of energy from our lasers. We believe that broad adoption of lasers will increasingly require integrated lasers with beam control to continue the displacement of legacy technologies. In addition to our continued expansion of differentiated products, we are well positioned to capitalize on multiple attractive long-term growth opportunities. And in 2021, our revenue grew in each of our end markets. Turning to Slides 8 through 10, where I will discuss each of these markets further. In microfabrication, we had a strong year, with 36% year-over-year growth. Our industry-leading high-power, high-brightness semiconductor lasers are often the critical enabling component of our customers ' products. As laser-based manufacturing processes continue to proliferate, we believe we will continue to benefit from wider adoption and a range of applications in the automotive, consumer, communications, electronics, display, medical, and semiconductor end markets. In Q4, the demand environment in Microfabrication remained strong and grew -- we grew revenue approximately 34% year-over-year to $17.3 million, representing 25% of total revenue. In Aerospace and Defense, our revenue grew 21% year-over-year in 2021 to a new record of $105 million, representing 39% of total sales. 2021 marked the fifth consecutive year of annual A&D revenue growth. We saw relatively consistent demand for our core long-term A&D customers and programs throughout the year, and we believe there are many additional long-term opportunities for our laser technology. Although new programs often take time to develop, we believe that we are well-positioned for future long-term growth in this part of our A&D business. We were also pleased with our progress in direct energy, as we achieved several critical technical milestones during the year. We're one of four award winners of the High-Energy Laser Scaling Initiative, HELSI for short, which is a U.S. government program to develop a 300 kilowatt laser. Although the timing of future programs of record is not yet clear, we remain steadfast in our belief that directed energy will be a key part of the United States military modernization efforts. Our vertically integrated business model, coupled with our deep understanding in work in defense, positions as well for future success in this market. In the fourth quarter, our defense revenue declined approximately 1% year-over-year to $28.5 million, representing 42% of total revenue. Development revenue, nearly all of which is related to directed energy projects increased approximately 18% year-over-year, but was lower than our quarterly guidance due to supply chain issues. Finally, turning to the industrial end market, industrial revenue grew 12% year-over-year in 2021. More importantly, industrial revenue from customers outside of China increased 66% year-over-year. In the fourth quarter, while overall industrial revenues declined 9% year-over-year, revenue from industrial customers outside of China increased by 57% year-over-year to $18.7 million and nearly doubled versus the same period in 2019. On a percentage basis, Q4 industrial revenue from customers outside of China increased to 86% versus 50% in the same period of 2020. This growth outside of China was driven by continued expansion of strategic customers in cutting, welding, and additive manufacturing. As we have discussed, we have prioritized deep engagement with these customers, and many of our current design wins took multiple years to secure and we believe serve as a strong foundation for future growth. In Cutting, we saw continued adoption of our programmable and high-power lasers in leading machine tool manufacturers in U.S., Japan, Korea, and Europe. In Welding, we continue to see long-term opportunities, especially in electric vehicles. Our programmable lasers coupled with new software and sensor technology we acquired via the Plasmo transaction, will support continued customer engagement and long-term opportunities in this market. Finally, in metal additive manufacturing. We saw significant increase in customer engagement, design wins, and sales of our additive manufactured specific lasers. We believe this market is at an inflection point as multiple laser tools combined with further improvements in our programmable lasers will further drive improvements to displace legacy machining and casting. I will now turn the call over to Ron to discuss nLIGHT's full-year and fourth quarter financial results.
Ran Bareket: Thank you, Scott, and good afternoon, everyone. Beginning on Slide 12, nLIGHT delivered record revenue for the full year of 2021, driven by a 41% year-over-year increase from sales to customer outside of China. Full-year 2021 revenue increased 21% to $270.1 million. Develop revenue increased from $37.9 million in 2020 to $64 million in 2021, driven by higher revenue associated with direct energy development projects. Fourth quarter revenue was approximately $67.5 million. Q4 revenue from customers in our core strategic market outside of China grew 27% year-over-year to approximately $60.1 million. In China, Q4 revenue decreased approximately 60% year-over-year, which was offset reduction in sales of our fiber laser product to customer in China. Q4 development revenue was $16.5 million versus $14 million in Q4 2020. Turning to Slide 13 to provide more detail into our gross margins. For year 2021, gross margin was 28.6%, compared with 26.6% in the full-year of 2020. Product gross margin was 35.6% for the full-year 2021, compared to 30.6% in the full-year of 2020. The 500 basis points year-over-year improvement in product gross margin in 2021 was driven mainly by higher sales to customers outside of China and more favorable product mix and better utilization, offset partially by increased manufacturing costs. In Q4, we experienced a 280 basis points reduction in product gross margin compared to the fourth quarter of 2020. This reduction was driven by additional overhead expenses as we invested in additional automated capacity in the United States, and a low factory utilization in China. Moreover, we experienced additional costs related to labor, freight, and materials. Turning to slide 14. non-GAAP operating expenses were $18.8 million during the fourth quarter, compared with $18.1 million in the prior quarter and $14.7 million in Q4 2020. The year-over-year increase in R&D was related mainly to higher overall investment to support our product road map and long-term growth activities. The year-over-year increase in SG&A was driven by increased headcount compensation costs and increased professional fees. As we continue to shift our strategic focus to customers ' end market outside of China, we also evaluate the appropriate level of operating expenses for our business. Turning to Slide 15, non-GAAP net income for full year 2020 was $10.7 million, compared with $7. 3 million during 2020. non-GAAP EPS for full year 2021 was $0.23 per diluted share compared with $0.17 in 2020. On a GAAP basis, net loss per share for full-year 2021 was $0.17 compared with the loss of $0.55 during 2020. Fourth quarter 2021 non-GAAP net loss was $200,000 versus fourth quarter 2020 non-GAAP net income of $5.2 million. Fourth quarter 2021 non-GAAP net loss per share was $0.1 versus fourth quarter of 2020 non-GAAP EPS of $0.12. On a GAAP basis, EPS for the fourth quarter was a loss of $0.20, compared with a loss of $0.12 during the fourth quarter of 2020. Full-year 2021 adjusted EBITDA was $22.6 million, or 8.4% of revenues. This compares to $18.2 million, or 8.1% of sales, during 2020. Our year-over-year improvement in adjusted EBITDA in 2021 was a result of higher gross profit, offset by continued investment in operating expenses. Fourth quarter adjusted EBITDA was $3.1 million, or 4.6% of sales. This compares with $8.4 million in Q4 2020. Our decline in adjusted EBITDA in Q4 was a result of lower gross profit and higher operating expenses versus the fourth quarter of 2020. During 2021, we use approximately $7.4 million of operating cash versus $13 million of cash from operations in 2020. In the fourth quarter, we used approximately $10.1 million of operating cash versus $1.7 million of cash flow from operations in Q4 2020. Cash used in operations during the quarter was related mainly to the increase in working capital to mitigate supply chain disruptions. Our capital expenditure for full year 2021 was $19.3 million versus $23.4 million in 2020. Capital expenditures as a percentage of sales was approximately 7%. Going forward, we expect to continue to invest in Capex related mainly to facility automation, infrastructure, and manufacturing capacity in the U.S. Turning to slide 16. We ended Q4 with cash and cash equivalents of approximately $147 million and no debt. DSO for the quarter was 52 days. Inventory at the end of the quarter was $74 million, representing 131 days. We continue to carefully manage inventories with strategic purchases to mitigate potential supply chain disruptions. Turning to slide 17 for our outlook for Q1. Based on the information available today, we expect Q1 to be in a range of $61 million to $67 million. At a midpoint of $64 million, this includes approximately $49 million of product sales and approximately $15 million of development sales. Turning to gross margin. Q1 product gross margin is expected to be in a range of 26% to 30%, and development gross margin to be approximately 6.5%, resulting in an overall gross margin range of 21% to 25%. While we were pleased with our gross margin improvement during 2021, our strategic investment in additional automated capacity in the U.S. and excess capacity in China, coupled with headwind such inflation, higher labor cost, increasing material cost, and supply chain constraints will make it difficult for us to significantly improve our gross margin in the next few quarters. However, we remain confident in our ability to achieve 40% plus product gross margin as we optimize our manufacturing footprint and continue to increase our revenue in strategic markets. For the first quarter, assuming today's cost structure, we expect adjusted EBITDA to be approximately break-even. We expected Q1 average basis share to be approximately $43.5 million and non-GAAP diluted share to be approximately $47.8 million. Before turning the call over to Scott, I would like to take a moment to thank Scott, the nLIGHT board and the rest of the nLIGHT employees, for the opportunity to have served as nLIGHT CFO for the past 4 years. I'm proud of what we have built since taking the company public in 2018, and I believe that the company has a bright future. I also look forward to working with Joe over the next several months as he begins his post as the CFO on March 1st. With that, I will turn the call back over to Scott.
Scott Keeney: Thank you, Ran. I'd also like to, again, say thank you to Ran for four great years of service to nLIGHT. It's been a privilege to work with you. I want to sincerely thank you for all your hard work and dedication. I wish you all the best in your retirement. With that, I'll turn the call back over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Our first question comes from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Greg Palm: Good afternoon and thanks for taking the questions. Ron, enjoyed working with you and Joe, congrats and look forward to working with you more.
Ran Bareket: Thank you.
Joseph Corso: Thank you.
Greg Palm: I guess, just starting on the gross margin line, I'm curious if you can quantify specifically the overhead costs from the investments in automated capacity for Q4 specifically and also what is inherently baked in the guidance in Q1 as well.
Scott Keeney: Yeah. I will take it. It's hard to quantify exactly what was the impact. But what we can tell you that there was some impact in Q4 and definitely in the guidance that we provided for Q1 for two main things. The first one is the excess capacity that we have in China. The reduction in volume in China was -- occurred even faster than what we anticipated. And as a result of that, we have an excess capacity in China that we are maintaining for now while we are building automated capacity here in the U.S. So in one hand, you have an excess capacity in China, in another hand, we invested in capacity here in the U.S. which is mainly, maybe the only, automated capacity that are not fully utilized. That definitely impacts our margin in Q4 and will impact our margin in Q1, and going forward in the next few quarters. Add to that as I mentioned in my opening remarks, some headwinds like inflation, labor costs, freight costs, and other supply chain disruption that impacted our margin in Q4, and we anticipated it will impact our margin in Q1 as well.
Greg Palm: Yes, I think you meant Q2 as well. What's your visibility beyond the next couple of quarters? I mean, can you get back to more of that more recent gross margin in the second half or is it going to take some time? I assume a lot is probably dependent as well on volumes and the excess capacity you have in China, but what's your thinking as of right now?
Scott Keeney: Again, I don't think that it's the right things to try to predict exactly when we will go back to the margin that you saw -- product margin, I mean that you saw in Q2, Q3 last year. As you mentioned, the impact on the gross margin will be vary from the volume, from the mix, and that additional overhead cost that we have currently. But I think that again, we are always talking about the long run as I mentioned, as Scott mentioned. We believe again for the long run, it will take a few quarters as we mentioned. But for the long run, we believe that we can go back to the 40% or we can reach to 40 plus percent product gross margin.
Greg Palm: Understood. And then I guess just last one for me. You only guided here for Q1, and at the midpoint, it's quite a bit lower than your -- I think your 15% annual growth bogey. I even think last quarter you made the comment about 20% being sustainable over the longer-term. How should we think about the remainder of the year in that context?
Scott Keeney: You're talking about top-line or you're talking about --
Greg Palm: Top-line. Yeah. Sorry. Correct. Top-line.
Scott Keeney: So again, look at 2021. 2021, we grew 21% despite the fact that China went down significantly. And we mentioned several times, by the way since the IPO, and it was the case since the IPO, even prior to IPO, that nLIGHT grew more than 20% CAGR. And we believe that for the long run, it will be the case as well. Again, there are many, many -- it's a transition year. 2021, 2022 is going to be a transition year. Meaning in 2022 the revenue from China from Cutting is going to be very, very minimal. In 2021, we had a revenue from Cutting from China. So we will continue to grow, maybe in some area in the business faster than 20%, but you need to take all of that into consideration to see how 2022 will look like, and that's by the way, one of the reasons why we are not talking about specifically, it's too early to talk about specifically the 2022 growth. However, again, for model perspective, it is the right thing to look at nLIGHT as a 20% plus CAGR for the future.
Greg Palm: Okay. Great. I'll hop back in the queue. Thanks, and good luck.
Scott Keeney: Thank you.
Operator: Our next question comes from Patrick Ho with Stifel. Please go ahead.
Patrick Ho: Thank you very much. And likewise, Ran, I want to congratulate you. Thanks for your efforts. And Joe, I look forward to working with you more on a going-forward basis.
Ran Bareket: Thank you.
Patrick Ho: Maybe first off for Scott. Obviously, with your diversification strategy taking hold, we're seeing the growth in other market regions as well as your new products. As you just look at '22, just for this year, which of those three variables, whether it's markets, region, or new product expansion, which do you see as being the biggest driver for nLIGHT, at least from that breakdown?
Ran Bareket: Yeah. I think as we look ahead, we see strong continued growth opportunities both in industrial and in defense. In industrial, we've launched a number of new products, in '21 we'll be launching more products, in '22, just announced this acquisition of Plasmo that will enhance the products. So we see strong opportunities to continue to grow outside of China in those industrial markets. Notably, I think one market that we see very nice overall growth and growth in our business is in additive manufacturing where the economics of laser additive manufacturing is inflecting. And then in defense, we see continued opportunities for growth. How those hit the top line in '22, that's where it's harder to predict, given that it takes time for those programs to hit in terms of programs record. But we see strong growth opportunities in both of those markets and continued secular growth in the microfabrication space.
Patrick Ho: Great, that's helpful. And maybe for the team, whoever wants to answer this, the supply chain and the input costs have been a struggle for a lot of technology sectors over the past six months or so. From your vantage point, are you seeing more pressures from "supply chain shortages" or are the input costs, whether it's related to paying more for components or freight and logistics costs, which of those variables are having, I guess, the biggest headwinds at least for you in the near term?
Ran Bareket: Yeah. Patrick, we see challenges in all of those areas. There's not one that we would highlight. But yeah, it's a difficult time to be managing when we're dealing with shortages. And it could be a very small component that causes a problem for us or one of our customers. Certainly, freight is challenging and then just inflationary uncertainties also. And on top of that, with continued COVID -- continued -- hopefully, your -- will evolve, but continued issues just managing the company through this. So we see across that entire spectrum that you outlined, there's nothing we would highlight that is the single material impact to the business, but it is challenging.
Patrick Ho: Great. Thank you again, and good luck, Ran.
Ran Bareket: Thank you.
Operator: Our next question comes from Tom Diffely with the D.A. Davidson. Please go ahead.
Tom Diffely: Yes. Good afternoon. And thanks for the question. First of all, when you look at the fourth quarter decline, a sequential decline, largely just explained by the lower revenue in China. And curious what you're seeing there. Is it just the Chinese market is a little bit softer with the supply chain issues, or was it just your choice to de -emphasize that market and walk away from potential business?
Scott Keeney: I think all of those factors, Tom, at some level, I think the overall economy and industrial sector in China in Q4, I think was softer across the board. But in addition to that, it's the intentional decision that we've made some time ago to be very careful about which markets we serve there and there's a limited set of markets that are truly attractive markets there. So it's both our decisions and indeed a softer economy in China.
Tom Diffely: Okay. That's helpful. Thanks, Scott. And also I was curious on the automation front, is this mainly long lead-time custom tool that you have to produce or bring in-house and what is the lead time to get that automation up and running?
Scott Keeney: Indeed, yes. Automating complex processes to assemble lasers as there's no off-the-shelf technology there. It is a largely custom, very long lead-time set of projects that we started in some cases multiple years ago. And glad that we did that several years ago and it's great to see progress as those tools come online.
Tom Diffely: So is this an ongoing process or do you feel like you're fairly good at capacity?
Scott Keeney: Yeah. It's ongoing. It's been one that as I said, started more than two years ago. It's an ongoing continued process as we advanced new products that are designed for automation and then the automation itself. So we're seeing good progress there, but it will be a theme that we will continue for quite some time.
Tom Diffely: Great, and then Ran, one last question for you, before you leave. On the OpEx side, was the sequential increase driven by just increased costs, or did you increase headcount as well?
Scott Keeney: First of all, I'm not leaving. I'm going to be with Joe here until the end of June to make sure that we have a good transition that's point number. Second point, going back to your OpEx question. Yeah, it's both. It's increasing labor cost, it's increasing in professional fees, and headcount in some cases, yes.
Tom Diffely: Great. Well, thank you all for your time.
Scott Keeney: Thank you.
Ran Bareket: Thank you, Tom.
Operator: Your next question comes from Chris Gringo with Needham & Company. Please go ahead.
Chris Gringo: Hi. Good afternoon. Thank you for taking my questions. And congrats, Ran. On additive, it sounds like it's picking up there. And I was just wondering if you could provide any color on the pipeline or what you're seeing in terms of demand there. And whether there's any indications that the sales cycle could be compressing on any data points with respect to wins with existing customers. Thank you very much.
Ran Bareket: Yeah. Appreciate the question. So what -- we've been working in additive for many years and what we're seeing is strong growth. I think you can look at the standard market reports out there that are calling growth -- north of 20% growth in that space and indeed that's what we're seeing. And its result of significant improvements in a whole host of different technologies. But I do think the lasers play a really important role here, notably in systems where there's multiple lasers and the drive throughput in these tools, and also more advanced lasers like our AFX Laser. And we've posted some of the presentations that we had at the recent Formnext Trade Show. So we see continued expansion in the overall market. We see design wins, and we see most importantly, new applications that are now economic for Laser powder bed fusion applications. And indeed, we're using these in our own products.
Chris Gringo: Great. And just on Plasmo, as you're going through the process of planning for integration, how are you thinking about integrating that product base with your existing offering? Is the Plasmo offering something that we'll continue to offer on a standalone basis or could you integrate the sensor suite with the existing power source? How are you thinking about that?
Ran Bareket: Yeah. Good. It will be a product line that fits very nicely with our lasers and it allows us to expand the product portfolio. It also allows us to engage with customers where Plasmo has had success in their own design wins in various industrial applications. So it will augment our products and also expand our channels.
Chris Gringo: Great. Thank you very much.
Operator: [Operator Instructions] Our next question comes from Mark Miller with The Benchmark Company. Please go ahead.
Mark Miller: Best wishes for your future. I have a question. You've talked -- you continue to talk about going to 40% margins long term. What are the drivers? How do investors access your progress? And what's the road map to 40% gross margins?
Ran Bareket: Sure. But just to be clear, we're talking about product gross margin and not total gross margin. Keep in mind that we have a portion of our revenue is coming from development revenue with 6.5% margin. But going back to product gross margin, I think that 2021 was a perfect example how we -- how can we improve our margin by better mix with products outside of China especially with aerospace and defense and industrial outside of China application where the margin it's much higher. But in order to continue to improve the margin, we need to do two main things. The first one is to some extent to adjust the excess capacity that we have today in China and in the U.S. to the level of production. Currently as I mentioned in the beginning, there is an excess capacity in China and excess capacity or lower utilization in the U.S. Once we will finalize the automation here in the U.S., we can reduce the capacity in China and produce more product here with automated lines in the U.S., which definitely will help us with the margins, with the cost. So that's point number 1. Second point is, obviously continued to grow the top line and have a better utilization on our fixed costs. And the last one is continue to grow the top line, but growing the top line with application, again, like aerospace and defense, and industrial products outside of China where the margin is much higher.
Mark Miller: Okay. And what percent of sales were represented by greater than 6 kilowatt fiber lasers of your fiber lasers sales?
Joseph Corso: I'll get on that. I'll get that number for you, Mark. In the quarter, Mark, greater than 6 kilowatts was 40%.
Mark Miller: What about less than 2 kilowatts, do you have that?
Joseph Corso: Yes. We have less than 2 kilowatts. It's actually 31% during the quarter, which is the highest it has been in a while, and I think that that is a testament to what we've done in metal additive manufacturing. Most of the lasers by power in additive manufacturing are a kilowatt and below, and most of those sales are to customers that are obviously outside of China, which is why you've seen that tick up sequentially over the last couple of quarters.
Mark Miller: Thank you.
Joseph Corso: Your welcome.
Operator: This concludes our question-and-answer session as well as our conference for today. Thank you for attending today's presentation. You may now disconnect.